Operator: Good morning, and welcome to today's Sierra Metals Fourth Quarter and Full Year-End 2021 Financial Results. My name is Bailey, and I will be your moderator for today's call.  I would now like to pass the conference over to Christina Papadopoulos, Manager of Investor Relations. Christina, please go ahead.
Christina Papadopoulos: Thank you, operator and good morning, everyone. Welcome to Sierra's year-end 2021 results conference call. On today's call, we are joined by Luis Marchese, our CEO; Ed Guimaraes, our CFO. In addition, our VP Sustainability and Corporate Affairs, Gabriel Pinto, will be available for any questions. Today's call will be followed by a question-and-answer period. The accompanying presentation for today's call is also available for download through the webcast or from the company's website at sierrametals.com. Yesterday's press release, the financial statements and the management discussion and analysis are also posted on the company's website. I would like to note that this earnings call contains forward-looking information that is based on the company's current expectations, estimates and beliefs. This forward-looking information is subject to a number of risks, uncertainties and other factors. Actual results could differ materially from our conclusions, forecasts or projections as reflected in the forward-looking information. Additional information about the material factors that could cause actual results to differ materially from the conclusions, forecasts and projections in the forward-looking information and the material factors or assumptions that were applied in drawing a conclusion or making a forecast or projection as reflected in the forward-looking information is contained in the company's annual information form, which is publicly available on SEDAR or EDGAR or via Form 40-F on our company's website. Please note that all dollar amounts mentioned on today's call are in U.S. dollars unless otherwise noted. I would now like to turn the call over to our CEO, Luis Marchese, for an overview of the year's highlights; followed by Ed Guimaraes, our CFO, for the financial highlights. Then we'll return back to Luis for a look ahead in 2022.
Luis Marchese: Thank you, Christina, and good morning, everyone. Looking at Slide 4. As you are aware, 2021 brought many complications due to the impact of COVID-19 on our workforce and operations. Sierra was successful in keeping our operations from closure due to the outbreak during the pandemic and led a very successful vaccination campaign with almost 100% of our employees and contractors fully vaccinated. While foreign currency requirements having dropped, 50 protocols remain in state, the health and safety of our employees remains our top priority. I am pleased to say that staffing operations are well underway to normal levels. During 2021, we emerged from our strategic review process with the goal of positioning the company to focus on growing the production of copper and steel making metals. In that context, changes were made to the Board of Directors with Jose Vizquerra appointed as Chairman and the regional three new independent directors to our Board. We welcome Oscar Cabrera, Carlos Santacruz and Don Whitaker to our Board of Directors. Their combined expertise and experience will provide important perspective as we execute our strategy and deliver maximum value for all shareholders. In terms of operational developments, Yauricocha received its ITM permit in June, allowing for a 20% increase in throughput to 3,600 tonnes per day. The higher throughput partially compensated for lower grade at the mine due to regulatory limitations on mining areas. But overall, open equivalent metal production declined by 21% compared to 2020. The decline was particularly felt in Q4 when the mine reached maximum annual permitted capacity and production was halted before the end of the year. At Bolivar, we conducted an extensive review of operations and initiated a program that will care pass towards the successful turnaround of the mine in the coming years. We are focused on ensuring the right processes and people are in place with the right ticks and balances to optimize operations and realize Bolivar's true value. The cumulative backlog of infill drilling and development is being addressed as well as lagging mine infrastructure, such as ventilation, auxiliary services, labs, mining camps and others. We also filed an updated PEA with the inclusion of iron ore production, providing for a potential additional revenue stream in the future. At Cusi, the strategic review continues, modeled to determine appropriate next steps for the mine. And with that, I will turn to Ed to review the financial highlights for the year.
Ed Guimaraes: Thank you, Luis, and good morning, everyone. Turning to Slide 5. The company achieved relatively solid results in 2021, given the impact of COVID-19 on our employees and operations. We reported a 3% increase to our consolidated throughput, although a decline in grades equated to a 24% decrease in consolidated copper equivalent production compared to 2020. Revenue from metals payable was up 10% due to the strength in metals prices throughout the year. We met our revised adjusted EBITDA guidance with a reported $105 million. Cash flow remained strong, as did adjusted net income. We reported a net loss attributed to shareholders for 2021 of $27.4 million or $0.17 per share, which included the noncash impairment charge of $35 million related to the Cusi mine. We finished the year with approximately $35 million in cash. Our revenue mix by metal continues to be led by copper at 35%, followed by zinc and silver at 26% and 24%, respectively. Lead and gold continued to contribute revenue in line with previous years at 10% and 5%, respectively. In 2021, we saw continued improvement in realized prices for all metals compared to 2020, particularly with copper, which was driven by strong global demand and is expected to continue in 2022 with the growth in demand for electric vehicles and renewable energy. Precious metals realized prices lagged in the second half of the year but remained relatively strong with a 22% and 7% increase in silver and gold, respectively. Turning now to Slide 6. Compared to 2020, cash costs increased at both Yauricocha and Bolivar attributable to higher operating costs, which increased mostly due to higher labor costs and a 21% decrease in copper equivalent payable pounds at Yauricocha as well as a 42% decrease in copper equivalent payable pounds at Bolivar. At Cusi, cash costs were in line with 2020, driven by the 41% increase in silver equivalent payable ounces, which offset increased operating costs. All-in sustaining costs were higher across each mine. At Yauricocha, we saw a 31% increase related to the increased cash costs and sustaining capital expenditures, which were partially offset by the decrease in treatment and refining charges that we had anticipated in 2021. At Bolivar, we had a 125% increase in all-in sustaining costs, which resulted from higher cash costs combined with a 95% increase in treatment and refining charges and 117% increase in sustaining capital as capital projects that have been deferred in 2020 due to COVID were reinstated. At Cusi, we saw a 10% increase in the all-in sustaining costs, again, due to higher cash costs combined with higher treatment and refining charges and again, from the advancement of capital projects that were deferred in 2020. With that, I will now turn the call back to Luis.
Luis Marchese: Thanks, Ed. Turning to Slide 7 and looking ahead in 2022. At Yauricocha, we will be benefit from running the plant at an increased capacity of 3,600 tonnes per day for the full year. Access to higher targeted grades will still remain an advantage until permitting is obtained to mine below current levels, so higher throughput will compensate for the lower grades we are mining at current levels. We plan to focus on mine development, including the zone between Cachi Cachi and Esperanza, continuing work on the Yauricocha shaft, ventilation infrastructure and the expansion of the tailings dam with additional capital allocated to the mining camp. Brownfield exploration will focus on target located along the Yauricocha. At Bolivar, as indicated previously, we have started a deep turnaround process at the mine. This includes an intense infill drilling plan with the goal of improving the certainty of the resource base as well as mine development to gain access to different areas of the mine and regain flexibility during mining operations. We also plan to continue work on a low CapEx expansion of the plant facility with the objective of achieving an average throughput rate of 6,000 tonnes per day once concluded. Operational initiatives are expected to be reduced by the end of Q2 with production performance improving in the second half of the year. Work will also continue on the tunnel connecting the mine with the mill, which will improve efficiencies by lowering haulage costs as well as upgrading mine ventilation, auxiliary services, lab facilities, mine camps and tailings dam expansion. With improved operating efficiencies, around pumping production and continued strength in metal prices, we are optimistic that we will see a stronger revenue contribution for Bolivar by the end of the year and into 2023. At both Yauricocha and Bolivar, we also expect to complete further expansion, including the Mineral Reserve mineral resource update this year. At Cusi, we continue to allocate capital expenditures towards mine and payment on development as well as equipment replacement. As mentioned, the strategic review continues to examine options for Cusi. As part of the company's new strategy, we have also placed a heightened emphasis on ESG. We have already completed the carbon emissions Scopes 1 and 2 for Mexico and Peru for the last three years, with the objective of further defining our strategic targets. In 2022, we plan to report our inaugural sustainability report. We are committed to the delivery of a well-defined ESG strategy by ensuring the sustainability of our operations for our workforce as well as our surrounding communities. This year, as I mentioned, we expect to develop and publish Sierra's first sustainability report. In conclusion, on Slide 8. The company remains healthy financially. We have a strong balance sheet with $35 million in cash. Our total debt at year-end was $80.8 million with a net debt of $45.9 million. Cash and cash equivalents decreased during 2021 as the $70.9 million used in investing activities and $36.9 million used in financing activities, exceeded cash generation - cash generated from operating activities of $71.4 million. Cash used in financing activities included repaying installments of the BCP loan amounting to $19 million, interest payment of $3.2 million, dividend payment of $4.9 million to shareholders and $9 million to noncontrolling interest. For 2022, the company's focus will be on improved operating cash flows to improve production and cost reductions supported by what analysts anticipate will continue to be a strong base metal price environment. We are committed to the allocation of operating cash flows, to our growth projects that will advance the mine and ultimately the per share value, benefiting all shareholders. Management will continue to limit our prices and retain the option to adjusted capital expenditures should metal prices experience any changes within the year. With that, I will now turn the call back to Christina.
Christina Papadopoulos: Thanks Luis. That ends the presentation portion of this call. We would now like to open the call to questions from participants.  Management is always available, following the call, should there be further questions. Operator, please go ahead and open the line.
Operator:  Our first question of today comes from Mark Reichman of NOBLE Capital Partners.
Mark Reichman: So the first question is this, could you discuss your plans for Cusi, including the current carrying value following the write-down? How realistic are the after-tax NPV values in the most recent PEA and then the implications of the strategic review on your 2022 guidance?
EdGuimaraes: Thanks, Mark, for your question. Yes. So in terms of the process, we decided in Q4, as you know, to divest Cusi. We are now in a formal process. There is interest with various parties. Due diligence is underway in terms of site visits. So that is progressing. In terms of the impairment and the NPV in terms of the PEA that we had outstanding in terms of the expansion to 2,400 tonnes per day, it really became a likelihood exercise. And not to get too detailed or technical on the accounting side of things, but really, it was - what are the - for the company, what's the most likely situation for Cusi. And given that we were in a divestiture, the likelihood of us maintaining Cusi at current levels was really the norm, so to speak. And the probability of going to an expansion was much less than that. And even the ore sorting was - given that, that was still very much in a conceptual stage. And that was the reasoning why an impairment was taken. Because it doesn't - it's not saying that there isn't potential to that, that expansion scenario is still not there. But in terms of Sierra, that's not our focus. Our focus is on turning around Bolivar and Yauricocha, getting those on track and focusing on green metals, steelmaking opportunities. So that's really the crux of the impairment. But for somebody who potentially - if there is a successful bid, that scenario in terms of expansion is still - it will be more likely in their hands than it will in ours, just in terms of the prioritization we gave to that asset.
Mark Reichman: Okay. And then the second question is just looking at EBITDA expectations by mines, it would appear that you're expecting big improvements at both Cusi and Yauricocha versus - or Cusi and Bolivar versus 2021, but a decline at Yauricocha. So could you just kind of address the expected decline at Yauricocha?
EdGuimaraes: Yes. The - on that point, - Yauricocha really the 1120 restriction where we're not expecting to get permitting for that until late in 2023. So we're into areas of the mine because of that restriction that ultimately have lower grades. So we're expecting lower grades for this year and into next year at Yauricocha. That's the primary reason.
Operator:  The next question today comes from Heiko Ihle from Wainwright.
Heiko Ihle: It's Heiko from H.C. Wainwright. You mentioned earlier on this call that staffing levels are well back on route to normal levels. Great to hear, obviously. But can you talk a bit what you're seeing with wage inflation, maybe you can expand on that answer a bit and talk about just general inflation factors that you're seeing at your mine sites?
Luis Marchese: Thank you, Heiko. This is Luis. We have seen some inflation, but it's not that noticeable yet. I guess, the industry is still in hope there. But what we are seeing is an actual difficulty on getting equipment and parts and actually recruiting people that we are feeling it. I guess that's going to turning into inflation in the next coming months. But what we are seeing is a difficult supply chain for many of the consumables end, obviously, our human resource for the operations.
Heiko Ihle: You mentioned in the operational improvements at Bolivar earlier on this call. It also talked about the same thing in your press release. And then you laid out a bit of the strategy for the site in Q4. You put the PEA back on August 16. I just went through it again. Can you sort of provide some color on a quarter-by-quarter basis of what specific improvements you've been seeing? And maybe if you'd be so kind, even walk us through the expectations for the remainder of the year?
Luis Marchese: Okay. Thank you for the question, Heiko. In Bolivar, as I mentioned during the presentation as well, we have a backlog of -- our backlog of infill drilling and mine development. That's been carrying in for years. I mean it got only worse with COVID. So now we are catching up on that backlog, and that's going to take us for the full year, I guess, in terms of more drilling and more mine development. And the focus on that is to reduce the uncertainty on the ore and also increase the mine development so we can have more flexibility on how we might. And that's what tend to be accompanied by improvement on the infrastructure. We are going to bring these three grade borders to create three new ventilation circuit into the three areas of the mine. We are improving the auxiliary services. We are improving the labs. We are expanding the mine camps. So it's a whole turnaround in terms of expenditure to bring the mine where it should be. That's going to take us, I guess, the full year, eventually early in next year. Now at the same time, in terms of production, we are currently mining in Bolivar West and Mina de Fierro. But a couple of weeks ago, we finished our tunnel in Bolivar Northwest, which is a new area of the mine, which have better grades than what we have been mining. So starting April with the development, June with the actual mining itself, we will be able to end up ore into the - into production. So that's going to help us in terms of tonnage and in terms of grade. So that's why we made this difference between H1 and H2 because we feel that Bolivar Northwest is going to make a difference between - in terms of production. And that's going to help us also with the cash flow to keep funding this turnaround for Bolivar. Now on top of that, we are bringing this low CapEx expansion. We had this mill available for installation at Bolivar, so we will be doing that. And by late this year or early next year, we should be able to have a planned capacity of 6,000 tonnes per day instead of 5,000 with a very low CapEx. So this whole turnaround should start giving us better results on the second half by next year, it should work, fully. Having said that, on top of that, we are looking at the iron ore. We are doing the engineering for the iron ore and eventually, we will bring it to the Board and get approved for installing the magnetite plant, which we have announced for second time now.
Heiko Ihle: Very comprehensive, very good answer. And I just got one quick follow-up, if I may. It doesn't sound like question to you all that full. Your production cost of sales was 66.2% in 2021 compared with 45.6% in 2020 for Bolivar and others. Assuming all these improvements come to fruition, maybe give us some ideas on what you think your cost of sales might be for the year, I mean at least for Q1, given that there's really only two weeks left in the quarter?
EdGuimaraes: Heiko, Thank you. Yes. Our cost of sales, I think, for Q1, they're going to continue to stay relatively high, and we're only really going to see an improvement there in the second half of 2022.
Heiko Ihle: Okay. So not in Q2, but second half?
EdGuimaraes: Second half is when we'll likely see the biggest improvement, yes.
Operator: Next up, we have a follow-up question from Mark Reichman from NOBLE Capital Partners.
Mark Reichman: I was just wondering if you could clarify the difference between the first half and the second half of 2022 gold production? And which mine accounts for the uplift in the second half? I was just kind of curious whether that was - you've got that deposit at Yauricocha? Whether that was kind of the driver there or whether it was one of the other two mines? Because it seem like a pretty hefty production in the second half for gold.
Luis Marchese: Thank you, Heiko - thank you, Mark. I'm sorry. The difference is in Bolivar. As I mentioned in my previous answer, we are going to start mining Bolivar Northwest, and Bolivar Northwest has a higher gold and silver grain than the rest of Bolivar. So that's going to be at a fairly good title byproduct of gold and silver byproduct credit from Bolivar starting in the second half.
Mark Reichman: I see. Okay. And then on the magnetite processing plant, have you put any time dates out there in terms of - you've kind of narrowed the window down in terms of when you expect the magnetite processing plant to be completed and when it might be producing at Bolivar?
Luis Marchese: Yes, we are expecting to have the engineering done by Q3. And we should be taking it to the Board then, Mark. If we get - eventually, we could take it in Q2, depending on how we see the actual numbers coming out and eventually start building, but with more certainty will be in Q3. But we are fairly confident that it's going to be a good project. It's got the right economics. It's got the right conditions. It's 500,000 tonnes of good turnover concentrate in North America. We have the right infrastructure nearby. We can take it to the port. There are customers in North America that will benefit not from bringing parallel from faraway places, and the grade is really high.
Operator: There are currently no further questions registered.  As there are no further questions registered. I'd like to pass the call back to Christina Papadopoulos for closing remarks. Christina, please go ahead.
Christina Papadopoulos: Thank you, operator. That concludes today's call. On behalf of the management team, I would like to thank all participants for joining us today. A replay of the webcast and all materials can be found on our website at sierrametals.com. If there are any further questions or concerns, you may reach out to us after today's call. Our contact information can be found in today's presentation as well as on the company's website. Thank you, operator. We now conclude the call.
Operator: Thank you all for participation. You may now disconnect your lines.